Operator: Thank you for standing by, and welcome to the 1stdibs First Quarter 2025 Earnings Conference Call. [Operator Instructions] It is my pleasure to introduce your host, Kevin LaBuz, Head of Investor Relations and Corporate Development. Sir, you may begin.

Kevin LaBuz: Good morning, and welcome to 1stdibs earnings call for the quarter ended March 31, 2025. I'm Kevin LaBuz, Head of Investor Relations and Corporate Development. Joining me today are Chief Executive Officer, David Rosenblatt; and Chief Financial Officer, Tom Etergino. David will provide an update on our business, including our strategy and growth opportunities, and Tom will review the first quarter financial results and second quarter outlook. This call will be available via webcast on our Investor Relations website at investors.1stdibs.com. Before we begin, please keep in mind that our remarks include forward-looking statements including, but not limited to, statements regarding guidance and future financial performance, market demand, growth prospects, business plans, strategic initiatives, business and economic trends, including e-commerce growth rates, international opportunities and competitive position. Our actual results may differ materially from those expressed or implied in these forward-looking statements as a result of risks and uncertainties, including those described in our SEC filings. And any forward-looking statements that we make on this call are based on our beliefs and assumptions as of today, and we disclaim any obligation to update them, except to the extent required by law. Additionally, during the call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release, which you can find on our Investor Relations website, along with the replay of this call. Lastly, please note that all growth comparisons are on a year-over-year basis, unless otherwise noted. I will now turn the call over to our CEO, David Rosenblatt. David?

David Rosenblatt: Thanks, Kevin. Good morning, and thank you for joining us today. The first quarter was marked by solid execution and steady market share gains. GMV and revenue exceeded the midpoint of guidance and adjusted EBITDA margins exceeded the high end. Our product-led growth strategy is delivering a better buyer and seller experience, driving outperformance against our end markets. While recent developments have made the landscape more dynamic and less predictable, our focus remains the same, executing on initiatives that are under our control to drive GMV and revenue, improve margins and gain market share. The first quarter was another step in this direction.

David Rosenblatt: Evolving trade policies and their broader macroeconomic effects have created a tougher demand backdrop for luxury home discretionary spending impacting results. We are relatively well positioned for the new tariff regime. In 2024, 50% of our GMV was from transactions between U.S. sellers and U.S. buyers and roughly 30% of GMV was from EU or U.K. sellers to U.S. buyers. In addition, U.S. buyer exposure to China, Canada and Mexico is less than 1.5% of total GMV and supply exposure to other Asian markets is virtually nil. Additionally, we have a highly fragmented and diversified supply base with approximately 60% of our listings in the U.S. This means that there is often a local substitute on the marketplace for any imported product. Additionally, we don't manufacture or hold inventory because most of our listings are secondary, they are shielded from potential increases in raw material costs. However, we expect secondary effects to impact our business. These include a negative wealth effect and dampened appetite for discretionary purchases in addition to protracted softness in the housing market. This macro uncertainty creates a wide range of potential outcomes.

David Rosenblatt: Turning to first quarter results. We kicked off 2025 by building on the progress of 2024 with tighter focus and accelerated product velocity driving ongoing conversion improvements while maintaining expense discipline. In addition, we continue to gain market share, grow GMV and expand our active buyer base. This is happening against the backdrop of prolonged weakness in the housing market per the National Association of Realtors and a protracted downturn in our end markets per syndicated credit card data. Increasing conversion remains our operational priority and highest leverage activity. The first quarter was the sixth consecutive period of year-over-year conversion rate growth. Once again, conversion improved for both new and returning buyers. Relative to fourth quarter growth rates, conversion gains moderated and traffic softened, weighing on order growth, which was flat. This was partially offset by growth in on-platform AOV, resulting in 3% GMV growth.

David Rosenblatt: Platform improvements are fueling growth and market share gains. Our product development engine is humming, and we're shipping enhancements faster than ever. For example, the number of A/B tests we ran during the quarter grew triple digits year-over-year, hitting a new record. Our 2025 road map is focused on creating value for both sides of the marketplace via 4 themes. These are accelerating organic traffic growth, competitive pricing, funnel optimization and elevating the level of service we provide. Building on the progress we made in 2024, we aim to maintain growth and expense discipline while capturing additional market share.

David Rosenblatt: We made progress on multiple fronts during the first quarter. Let's start with organic traffic, where trends continue to move in the right direction. We returned to organic traffic growth in the first quarter, helped by improvements in SEO and direct traffic. These results reflect the impact of our work on site performance, removing low-value pages, boosting crawl efficiency, accelerating page load times and refining SEO landing page content. In addition, we continue to optimize our e-mail registration process, driving a higher registration rate without negatively impacting lower funnel metrics. Growing the number of registered users expands our e-mail file, providing another direct organic touch point. Given that over 70% of our traffic is organic, improvements here should drive efficient buyer acquisition.

David Rosenblatt: We also maintained our momentum with competitive pricing, where our objective is ensuring that listing and shipping costs are priced in line with the market. On item pricing, in January, we fully launched our machine learning-based pricing model for Art. In March, we started testing pricing recommendations for fashion, and this graduated into general availability in April, meaning that ML pricing models are currently live in all verticals. These models leverage our unique transactional database to provide pricing transparency in what is historically an opaque market. Our expectation is that this builds buyer trust and confidence. Additionally, we integrated pricing recommendations into the buyer experience, giving customers more context on pricing. In March, we increased the visibility of the 1stdibs estimate, prominently displaying pricing recommendations to shoppers on product display pages. Testing showed that this led to higher conversion. This move ensures that buyers can quickly and easily access critical information, driving a more informed purchase decision and a better user experience. With ML-based pricing models fully launched, we are now focused on experimenting with the most impactful ways to surface these recommendations to buyers and improving our accuracy to spur seller adoption.

David Rosenblatt: We also made progress with shipping. In March, we rolled out parcel self-service to all sellers, giving them complete control to select the best shipping methods for their business with our seamless integration of calculated shipping rates, shipping labels and automated tracking. This feature also enables buyers to obtain real-time best price shipping quotes, reduces operational complexity and increases our parcel pre-quote coverage by 5 percentage points to nearly 100%. Building on the foundation laid over the past 2 years, we also made strides in reducing friction and streamlining the user experience. We want to make it easier for shoppers to find and buy the perfect item. From discovery through checkout, we saw improvements across the funnel during the first quarter. At the top of the funnel, we made product discovery more intuitive and efficient. These changes are helping users better navigate our categories and connect with relevant items faster, which in turn supports improved engagement and conversion. In the middle of the funnel, we amplified trust signals by more prominently displaying seller standing on product display pages, clearly distinguishing our top-tier sellers. The results suggested that reinforcing seller standing helps build buyer confidence and trust earlier in the purchase process. Indeed, platinum seller, our highest ranking, saw the most significant conversion uplift. At the bottom of the funnel, we simplified checkout design, resulting in a smoother user experience and higher checkout completion rates. These wins and many others contributed to our ongoing conversion improvements. Our conversion rate in the first quarter was over 10% higher versus the first quarter of 2023.

David Rosenblatt: Turning to supply. As we navigate through this period of uncertainty, we are becoming more important to sellers. Our 2025 seller sentiment survey showed that 1stdibs is now the primary sales channel for our sellers, surpassing their own showrooms for the first time. This marks a meaningful shift from the past 4 years when showrooms consistently ranked first. It also reflects the progress we've made in deepening seller engagement and delivering value. Consistent with recent quarters, we saw steady listings growth and ended the quarter with over 1.8 million listings, up 5%. Unique seller count remains volatile due to subscription pricing optimizations. We ended the quarter with approximately 5,900 unique sellers, down 23% year-over-year but flat sequentially. As anticipated, seller churn was elevated due to subscription pricing optimizations. However, this had a de minimis impact on GMV and listings. We expect churn to normalize in the second quarter of 2025 and to see unique seller growth on a sequential basis in the second half of the year. Additionally, we expect continued listings growth through 2025. First quarter results demonstrate our ability to execute even amid rising uncertainty. We delivered in line or better performance, strengthened our market position and made progress on our product road map. Thank you for your continued support. I will now turn it over to Tom to review our first quarter financial results and second quarter outlook.

Thomas Etergino: Thanks, David. Our first quarter results all met or exceeded guidance. This performance was fueled by ongoing conversion improvements, higher average order value and disciplined expense management. GMV was $94.7 million, up 3%, outperforming our end markets, which continue to contract. Lapping a leap year was an approximately 1 percentage point headwind to GMV growth. On a sequential basis, GMV growth rates decelerated due to softening traffic and moderating conversion improvements, partially offset by higher average order value growth. On-platform average order value of nearly $2,600 and median order value of approximately $1,250 were both up 4%. AOV growth strengthened sequentially, driven by a mix shift away from orders under $1,000. In total, these accounted for approximately 44% of total orders in the first quarter, down from 46% a year ago. Going deeper, orders under $1,000 decreased 5% year-over-year, while orders over $1,000 grew 4%. There's no other digital marketplace at our scale, which has the buyer and seller trust to transact at our price points across multiple verticals. We're able to deliver qualified buyers at prices ranging from under $100 to over $1 million.

Thomas Etergino: Returning to funnel trends, traffic softened slightly with improvements to organic traffic being offset by slower paid traffic growth. We ended the quarter with over 70% of traffic from organic sources. Conversion gains moderated versus the fourth quarter but remained healthy. Conversion rates have now increased year-over-year for 6 straight quarters. Additionally, both new and returning conversion increased. Returning to GMV. Consumer GMV grew mid-single digits, while trade GMV was flat. GMV increased for all verticals, except for new and custom furniture. Jewelry and fashion posted the strongest performance, both growing double digits. We ended the quarter with approximately 64,800 active buyers, up 7% year-over-year and 1% sequentially. This was the fourth consecutive quarter of sequential growth on an absolute basis. On the supply side of the marketplace, we experienced steady listings growth, ending the quarter with over 1.8 million listings, up 5%. We ended the quarter with approximately 5,900 unique sellers, down 23%, but flat sequentially. As anticipated, seller churn was elevated due to subscription pricing optimizations. However, this had a de minimis impact on GMV and listings. We expect churn to normalize in the second quarter and to see listings growth throughout the year.

Thomas Etergino: Turning to the P&L. Net revenue was $22.5 million, up 2%. Transaction revenue, which is tied directly to GMV was approximately 75% of total revenue with subscriptions making up most of the remainder. Take rates were down approximately 30 basis points year-over-year due primarily to a mix shift to higher value orders. Gross profit was $16.3 million, up 2%. Gross profit margins were 72%, flat year-over-year. Sales and marketing expenses were $9.1 million, down 1%, driven by lower headcount-related expenses due to a reduction in force in January, partially offset by increases in performance marketing. Sales and marketing as a percentage of revenue was 40%, down from 42% a year ago. Technology development expenses were $5.6 million, up 18%, driven by higher headcount-related costs due to our annual merit increases awarded in March and some selective hiring. As a percentage of revenue, technology development was 25%, up from 21%. General and administrative expenses were $7 million, down 1% due to lower headcount-related costs, lower tax expense and lower professional services spending, partially offset by higher stock-based compensation due to our annual merit increases awarded in March. As a percentage of revenue, general and administrative expenses were 31%, down from 32% a year ago. Lastly, provision for transaction losses were approximately $900,000 or 4% of revenue, up from 2%. In the first quarter, we lapped a onetime benefit in the year ago period. Looking forward, we expect provision for transaction losses to remain approximately 4% of revenue. Total operating expenses were $22.6 million, up 6% year-over-year. Adjusted EBITDA loss was $1.7 million compared to a loss of $1.8 million last year. Adjusted EBITDA margin was a loss of 8%, flat year-over-year. We remain committed to driving operational leverage by scaling efficiently with roughly 60% of our cost base tied to headcount. Our asset-light model enables us to grow revenue without proportional increases in hiring. In 2025, we expect to keep headcount approximately flat.

Thomas Etergino: Moving on to the balance sheet. We ended the quarter with a strong cash, cash equivalents and short-term investments position of $101 million, down $2.9 million sequentially, which includes repurchasing approximately $1.8 million worth of shares. Since launching our first share buyback in August of 2023, we repurchased approximately 6.9 million shares for a total of $33.4 million.

Thomas Etergino: Turning to the outlook. Our guidance reflects quarter-to-date results and our forecast for the remainder of the period. We forecast second quarter GMV of $85 million to $92 million, down 7% to up 1%. Net revenue of $21.2 million to $22.5 million, down 5% to up 1%. And adjusted EBITDA margin loss of 14% to 10%. Our GMV guidance reflects steady traffic trends, a softening of conversion in April versus March, which we expect to persist throughout the quarter and moderating AOV growth. We believe these dynamics reflect increased consumer caution around highly discretionary purchases in the current environment. Our adjusted EBITDA margin guidance reflects gross margins towards the lower end of our 71% to 73% range, a full quarter of higher headcount-related costs due to our annual merit increases in March and provision for transaction losses of approximately 4% of revenue, in line with historical levels. In summary, first quarter results reflected balanced execution. We captured market share, stayed disciplined on expenses and advanced our road map. As we move through 2025, we remain committed to managing costs carefully and delivering on the key initiatives that position us for long-term success. While we remain mindful of the broader macroeconomic environment, we're confident in our strategy and our ability to deliver value through operational focus on the initiatives under our control. We appreciate your continued support and look forward to updating you on our progress in the coming quarters. Thank you. I will now turn the call over to the operator to take your questions.

Operator: [Operator Instructions] Our first question comes from the line of Ralph Schackart with William Blair.

Ralph Schackart: Just on the organic traffic, I think you quoted around 70% or so. David, you talked about conversion gains up, I think, 6 straight quarters, but sort of moderating lately. Maybe just talk about your ability to keep driving conversion? And how should we think about that 70% organic traffic, right? It's really strong, obviously, but just your sort of thoughts about that going forward.

David Rosenblatt: Thanks, Ralph. So in order of the funnel, starting with traffic, we -- organic traffic declined for over a year. And so we were happy actually that in Q1, we were able to restore it to growth. That's really all product and engineering driven, and we expect to continue that growth for the balance of the year. In terms of conversion, I think sort of stepping back more broadly, Q1 was a relatively stable quarter for the business in all respects. We saw a pretty significant drop-off in conversion, as we said, from -- in year-over-year terms from March to April. Traffic remained stable. AOV softened a little bit, but was still positive. It really all came from conversion. And if you look at it on a vertical basis, it also all came from consumer furniture. So trade was healthy in the month and the other verticals, mostly fashion and jewelry also grew in the month. So it really is isolated to a drop-off in conversion and primarily from the consumer furniture business. We -- our approach to it is we feel like we're still focused on the right things. That conversion change is a result of a change in the macros. And we're going to continue to, again, stay focused on the long-term value drivers in the business, which we made, as you noted, very significant progress on for the balance of the year.

Ralph Schackart: And just one more for me. I think you talked about churn normalizing in Q2. Is that just from lapping some of the seller programs? Or any more context you could add there?

David Rosenblatt: Yes, exactly. So listings is what we really optimize the business for, and that grew 5% in the first quarter, and that's on course to continue to grow. In terms of churn, we are now past our change in the subscription pricing plan. And we've seen that return to normalized levels. And we're also on pace to continue to add new sellers on historical normalized levels as well.

Operator: [Operator Instructions] Our next question comes from the line of Mark Mahaney from Evercore ISI.

Mark Stephen Mahaney: I just want to ask about active buyers. You've had a couple of quarters now where you've had solid growth in active buyers. Talk about if there are new sources of these buyers and how to think about continued growth for active buyers through the rest of the year and going forward?

David Rosenblatt: Thanks, Mark. So in terms of sources of active buyers, no, I mean, we are improving organic, as I said, but there hasn't been a massive change in the composition of our traffic. Paid did soften, paid traffic softened in Q1. But again, beyond that, no real change. And I'm sorry, I missed the second question.

Mark Stephen Mahaney: Just how do we think about the growth in active buyers. And I just -- because I look at the trends over the last 2 years where there was active buyer -- the net adds were kind of flattish to even negative, but that seems to have turned in the last 3 quarters. And you've had 3 quarters in a row now of nice trends in active buyer net adds. So I'm just -- is that a trend that's reasonably sustainable going forward?

David Rosenblatt: So active buyer -- the change in active buyers is a direct result of changes in conversion, which, of course, is our #1 focus. So it's our ability to continue to grow active buyers will be a function of what happens to conversion. Conversion, again, we saw a pretty significant change in April versus March, completely macro-driven. I mean you can trace it to changes in the macroeconomic environment. And so I think we're going to continue to do the same things that we've done to get us to this point, but also remain vigilant and see how the macro environment changes.

Operator: Our last question comes from the line of Nick Jones from Citizens.

Luke Edward Meindl: This is Luke on for Nick. I guess, first, you pointed to market share gains in the quarter. I was wondering if you could just provide a bit more color there and how you sort of size that up.

David Rosenblatt: Sure. So the way we measure market share is we look at our own GMV change versus syndicated credit card data for both online furniture and the luxury furniture market. And on both bases, we did grow market share. So -- and that's been the case for, I think, now 5 quarters in a row that we changed over in the first quarter of '24. So again, it's a product, we believe, of what has gotten us here, and we're not changing our strategy in terms of product development.

Luke Edward Meindl: Great. And then maybe just a follow-up. For the ML pricing models, can you just provide a bit more color there on what you're seeing so far and the progress there?

David Rosenblatt: Sure. So we've now rolled out -- as of Q1, we've now rolled out our ML pricing models to all categories in general availability. So we're through with our first round of testing. What we've seen in terms of seller adoption, which is in the first instance, what we're measuring, is that for items priced below $9,000, adoption has been extremely high, over 90%. For items priced above $9,000, adoption has been relatively low. And we think that's a result of the fact that the higher the price point, the fewer data points there are both in the market and just in terms of our own experience. And so it's harder to build models for -- to predict pricing on items that have less throughput, that have less volume. We're continuing to work on it like all models, they get a little better each month and each quarter. And we're also applying machine learning to calculating shipping prices for items and routes, which historically we have not been able to in advance -- in order to pre-quote in advance of an order. And the result of that should be a significant increase in our what we call pre-quote coverage. So the percent of items that have a pre-quote. And that pre-quote coverage is associated with higher conversion. So that's sort of the next frontier in terms of ML. And then the last priority that we're working on in terms of ML is developing an ML-based customer service agent.

Operator: Thank you. This concludes our question-and-answer session. Thank you for joining today. You may now disconnect.